Operator: Ladies and gentlemen, thank you for standing by and welcome to the News Corporation First Quarter 2013 Earnings Release. At this time, all lines are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) And as a reminder, please limit yourself to one question per queue. (Operator Instructions) I would now like to turn the conference over to Reed Nolte, Senior Vice President, Investor Relations, News Corporation.
Reed Nolte: Thank you very much, operator. Hello everyone and welcome to our first quarter fiscal 2013 earnings conference call. On the call today are, Chase Carey, President and Chief Operating Officer and Dave DeVoe, our Chief Financial Officer. First, we'll give prepared remarks on the most recent quarter and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corporation’s business and strategy. Actual results could differ materially from what is said. News Corporation’s Form 10-K for the three months ended September 30, 2012 identifies risks and uncertainties that could cause actual results to differ, and these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements. The definition of and a reconciliation of such measures, can be found in our earnings release and our 10-K filings. Finally, please note that certain financial measures used in this call such as segment operating income, adjusted segment operating income and adjusted earnings per share are expressed on a non-GAAP basis. A GAAP to non-GAAP reconciliation of these non-GAAP measures is included in our earnings release. And with that, I'll turn it over to Dave.
Dave DeVoe: Reed thank you and good afternoon everyone. As you all have seen in today's earnings release, we are quite pleased with the continued growth we are delivering at our Cable Network, Filmed Entertainment and Television segments so far in fiscal 2013 with double digit segment operating income increases at all three segments. However, much of this growth is offset by anticipated declines in SKY Italia and our Publishing businesses. The current quarter operating income results also include a $67 million charge related to the ongoing investigations initiated upon closure of The News of the World in United Kingdom as compared to $17 million in the first quarter a year ago. Excluding these charges in both years and a $5 million charge related to the proposed separation of the company's Entertainment and Publishing businesses, first quarter adjusted total segment operating income of $1.45 billion, increased 3% from the year ago adjusted result of $1.4 billion. First quarter reported revenues were up 2% driven by strong Cable Network reported revenue increases of 16%. These increases were largely offset by currency related decline at many of our divisions led by SKY Italia. It’s important to note that the stronger US dollar negatively impacted the company's financial performance this quarter. In constant currency terms, total company revenues and adjusted total segment operating income both grew 5% over last year. Our share of reported results from our equity earnings of affiliates were up $69 million in the quarter, with this increase primarily reflecting this quarter’s gain for participation in BSkyB’s share repurchase program. Also included in this quarter result is $1.38 billion of income and other, primarily related to a gain on the company’s sale of NDS, partially offset by $152 million of pre-tax impairment or restructuring charges. The reported net income in the quarter was $2.2 billion, with reported earnings per share of $0.94 as compared to reported earnings per share a year ago of $0.28. Excluding the net income effects in both years of one-time items, principally consisting of the items I just highlighted, first quarter adjusted earnings per share this year are $0.43 compared with a year ago adjusted results of $0.32, a 34% earnings per share improvement. Our press release includes a reconciliation of our GAAP results for these amounts. The reduction of shares outstanding versus last year from a buyback accounted for $0.04 per share to the adjusted EPS this quarter. Now I would like to provide some additional context on the performance of a few of our businesses and let’s begin with Cable Networks. This segment continued to drive overall company results, generating up to two-thirds of News Corporation’s total segment operating income. First quarter Cable segment operating income contributions increased 23% of a year ago levels to $953 million, with double-digit earnings growth at the RSNs, Fox News and at FX, partially due to the timing of original programming and marketing costs at FX. This strong domestic channel growth was partially offset by higher sports cost at STAR India, reflecting the inaugural broadcast of the new BCCI cricket matches and the strength in U.S. dollar that more than offset local currency profit growth at the Fox International Channels. Cable Network growth continues to be topline driven; the segment revenues up 16%. Reported affiliate fees of the Cable Network’s increased 18% over a year ago levels with domestic channel affiliate fees up 16% and international fees up 25%. And about two-thirds of the international affiliate revenue increase reflects strong local currency of in growth at Fox International Channels and at STAR in India. The balance of our growth was from the inclusion of Fox Pan American Sports’ business partially offset by the impacts of foreign currencies. First quarter advertising revenues for this segment were up 5% of a year ago levels led by domestic ad growth of 8% and at the International Channel local currency organic growth was in the high single-digit range. However, after reflecting the negative impact of the stronger U.S. dollars these revenues declined by 1%. At our Television segment, operating income in the quarter $156 million, increased 17% versus the first quarter a year ago due to a more than doubling of retransmission revenues and higher political advertising which more than offset a lower base market effected by the Olympics and the economy. Political advertising is generally coming in as expected with approximately $40 million of political ad revenue received in the quarter. At our Film segment, first quarter operating income was $400 million, 15% higher than a year ago. This growth primarily reflects higher television production contributions that include the increased digital distribution revenue. The quarter result also includes the successful theatrical release of Ice Age: Continental Drift, which grossed over $850 million in worldwide box office receipts to-date. Turning to SKY Italia, this segment operating income in the quarter of $23 million declined $96 million from a year ago. This anticipated decline was driven by higher program expenses including nearly $70 million of costs related to the associated broadcast of the Olympics. The timing of this additional premium programming was not ideal given the current challenging economic environment in Italy which is directly impacting gross subscriber additions and churn. SKY reported 4.86 million subs at quarter end, a net loss of 40,000 in the quarter. Local currency revenues increased 1% from a year ago levels on higher subscription revenues, although U.S. dollar reported results reflecting more than 10% negative impact from the weakening of the Euro. In the Publishing segment operating income of $57 million declined 48% compared to a year ago. This decrease larger reflects lower advertising revenues across all newspaper divisions led by declines in the Australian and U.S. publishing businesses. These declines were partially offset by contributions from the launch of the Sunday edition of The Sun and higher revenues at HarperCollins principally from the acquisition of Thomas Nelson. And that our Other segment reported a first quarter segment operating loss of $211 million, versus $99 million in the same period a year ago. This quarter result include $67 million of costs related to the ongoing investigations initiated upon the closure of The News of the World and $5 million in costs related to the proposed separation. Additionally, this quarter reflects higher development costs at the company’s education business. Joe Klein is scheduled to give you considerable insight into our plans and strategies for this business at the upcoming UBS Investor Conference in early December to be held here in New York City. Before I turn to guidance I would like to update you on our $10 billion buyback program. Through November 5, the company spent about $5.8 billion repurchasing over 308 million shares has reduced News Corporation total average shares outstanding in the first quarter by over 9% compared to the first quarter a year ago. As indicated previously, we are fully committed to completing the full $10 billion of our buyback and we are targeting to repurchase shares at a $3 billion to $4 billion annual pays as we work through the details of the separation process. Our objective is to buy back our shares in a disciplined manner without artificially pushing our share price up during periods of low trading volume. And finally let me address our guidance for fiscal 2013; total segment operating income and as a reminder we measure this guidance excluding from fiscal 2012 to $224 million of charges related to the ongoing investigations of United Kingdom resulting in a base of $5.6 billion in segment operating income when compared to purposes. After excluding the full year effect of the UK investigation costs and separation costs that are based on all the assumptions inherent in our projection, we expect that our total segment operating income as a percentage of growth rate for fiscal 2012 to continue to be in the high single or low double digit range above the $5.6 billion fiscal 2012 segment operating income base load as we outlined for you three months ago. And while this guidance now includes the estimated consolidated contribution from the acquisitions of CMH in Australia and ESS in Asia, those contributions are essentially offset by the inclusion of the first year’s timing impact of the margin cost for the initial releases under our new DreamWorks Animation distribution deal. And with that I would like to turn the call over to Chase.
Chase Carey: Thanks Dave. Before I comment on our business I want to [recognize] to many of you who live in the New York, New Jersey area and hope you and your family and friends are managing and recovering from Hurricane Sandy. As a company we've done our best to help the relief efforts both through donations and also by working directly with FEMA to raise awareness of federal disaster relief initiatives through various media across News Corporation. We know this has been a difficult time for many of you, so please note we wish all of you the best as our entire community works to make a full recovery. Now let's look at the quarter. Our first quarter has provided us with a solid start to fiscal year, as we continue to meet our growth targets and drive our businesses forward. We are facing some significant challenges due to economic headwinds, particularly in a couple of businesses. We are confident and are standing for both the financial and the strategic perspective and continue to believe we are positioned for growth in both the short and long term. As Dave noted, our results continue to be driven by our cable channels business, which delivered almost a $1 billion in operating income in Q1. In the US, our strength in this segment was pretty much across the board. Fox News continued its strong performance ranking number one in total day and primetime viewers for the 43rd consecutive quarter. At FX American Horror Story and Sons of Anarchy, had some spectacular season premiere and is laying the groundwork for solid seasons ahead. Our US Sports channel also had a solid first quarter. More importantly, we finalized key agreements with Major League Baseball and NASCAR that will collectively serve as foundations for both our cable and broadcast businesses for years to come. In a world of increasing fragmentation and growing digital technologies, we believe key must have content is more important than ever. Equally I want to emphasize that we only make financial improvements like this, and we are confident we can create real incremental value. We are very excited about the long term growth potential of the broad and diverse mix of the must have leading channels we are building. Internationally, our channels were on target and continue to execute well in spite of the economic woes in Europe and the adverse consequences of the strong dollar on our results. As Star in India, our results are in line with our expectations, although down from a year ago to ramp up the sports business discussed last quarter and as we feel the impact of a weak rupee. We continue to be very excited about the long-term growth potential for international businesses and believe they are stronger comparatively than ever before. Our creative businesses continues to develop award winning films and television shows across every genre, posting exceptional box office and ratings numbers and building loyal fan bases around the world. The fact that our three TV studio recently won the best drama and comedy Emmys for Homeland and Modern Family respectively. With those series as well as traditional stalwarts like Sons of Anarchy and Glee plus new franchises like New Girl and American Horror Story, we continue to have a great pipeline of products for traditional syndication and cable outlets, as well as the ever growing collection of digital distribution outlets. The digital market, both in the US and abroad continues to be a real area of growth particularly for unique hit content. Our film studio is also well positioned. In the first quarter, Ice Age Continental Drift was a worldwide box office hit and a testament for the growing strengths of our Blue Sky Studio, which has become a clear leader in the growing animation segment. We're now gearing up for a great month with Taken 2 having grossed more than $300 million and a critically acclaimed Lincoln and Life of Pi waiting in the wings. We also continue to build additional distribution opportunities for feature films. Our recent ground breaking digital HD initiative for advanced electronic sell through of Prometheus was a success and bodes well from more innovative opportunities to reenergize the home entertainment segment over the next few years. In our broadcast business, our results have been mix this fall. On the positive side, we continue to be on track with our goal of building a dual revenue stream business through both retransmission and reverse compensation with our affiliates. Our station continues to do a great job maximizing margins and market share. However, our (inaudible) entertainment launches have been below our expectations in the four game world series that clearly not we had hoped for. Nonetheless we are focused on initiatives to build on some of our key franchises and look forward for the return of refreshed American Idol in January and dynamic upcoming new series like the Following starring Kevin Bacon. The advertising markets have also been mixed. Political spending exceeded expectations while the base local ad markets were a bit softer in the first quarter, with trends down in the mid single-digits excluding political ads. Q1 was also adversely impacted by the Olympics. The second quarter looks a bit better with post election results tracking up in the mid-single digits from a year ago. Naturally we are still seeing broadcast scattered at modest premium job front pricing and national cable is a bit stronger than national BroadBlast. It is still clearly however marked with very limited visibility. Two businesses were clearly feeling the impacts of economic woes is Sky Italy and Australian Publishing. In Italy a decline in subscribers coupled with the weak Euro and the one-time cost of the London Olympics made this a uniquely challenging quarter. And we assume the economic challenges are going to continue. Therefore our plan is to stabilize profits and stabilize profit in a short-term by focusing on quality subscribers to limit churn and reduced programming and operating costs to the level appropriate for our current subscriber base. Our competitive position continues to strengthen as others struggle in the market, so we remain bullish in a long-term potential for this business. And when the market improves, we will be well positioned for growth from a streamline base. In Australia Publishing, the decline in the classified advertising has clearly hit these businesses. As discussed previously, we have major plans already being undertaken by our management team to address these shifts. Most of our other businesses we are pretty much on target. In the UK we are recognizing the benefits for the Sunday edition of the SUN or HarperCollins and we are realizing expected gains from the Thomas Nelson acquisitions. As said these businesses continue to face challenges starting from lower advertising revenues since readers continue to migrate to digital platforms. In closing, I would like to emphasize, that despite the challenges I outlined, News Corporation is an unique position to faced challenging macroeconomic issues, head on as they continue growing our core businesses or taking advantage of new opportunities wherever possible. We will continue to address our balance sheet assets as illustrated by our recent CMH agreement, and we will also continue to address our capital structure through initiatives like buybacks and strategic investments to strengthen our core businesses. As the company progresses towards its planned separation, we are convinced that our business is ideally positioned as leaders in providing the best in news and entertainment to our customers of delivering the greatest possible returns to our shareholders. With that I will turn it back to Reed.
Reed Nolte: Thank you, David and Chase. Operator, now we would like to take questions from the financial community place.
Operator: (Operator Instructions) Our first question will come from the line of Anthony DiClemente with Barclays Capital. Please go ahead.
Anthony DiClemente - Barclays Capital: Two questions; I guess, one is for David and one for Chase. If I look at your other segment; even if I add back the one time items that you talked about in the release. The $67 million and the [515] they are still in operating income loss of $120 million and that didn't widen year-over-year. So I am just wondering if we could just take a step back and maybe remind us what's in that other segment, is it same losses that continue and what can you guys do to try to bring that segment to breakeven over time? And then second question is a bigger picture for Chase wondering if you could update us on sports globally, you guys have been successful on your strategy of acquiring sports rights in different countries and leveraging those rights for higher affiliate fees internationally, just wondering if you could update us on your efforts in that way and what we should expect from that strategy moving forward? Thanks guys.
Dave DeVoe: What’s in other entity is principally our head office, its our education business which I mentioned and it includes our executive comp and our executive comp is slightly different with some others is that any of the related compensation that's related to our stock is mark-to-market so to the extent that we have an increase in our stock price that compensation is mark-to-market and in this case our stock improves significantly. So we've got a bit of a hit in the current quarter for that.
Chase Carey: And I guess in terms of sports I mean obviously some of the recent deals that I talked about we've just signed and really like the in the US the baseball and NASCAR deals are new and just implemented. But I think the US really and for us we are pretty much on track where we want to be. We think sports as I said in the opening comments are increasingly important part of particularly building a real [tool] revenue business and in a world that gets as more and more choices and more and more technologies we think sports become ever increasingly valuable and so I think it gives us an opportunity really to build all our businesses across the channels, it really have the breath or strength same theme is really true internationally. Most of the international initiatives other than the one tied to the SKY platforms are pretty new, probably less than a year into Latin America, that's ahead of plans; in Asia we are really just, we are just launching. It was just the first quarter in India. I think we are just closing now the ESPN Star transaction so we don't, so we really haven't even, I don't actually think we've closed it yet. So that is closing, I think the initial results, the initial results of India were, we feel good about, we are very much in line with our expectations, sports in Europe in the SKY platforms continue to be a critical part of that business, and in places like Germany we launched a sports news channel a year ago, that's been a real success for us. The key rights we've acquired have certainly been an important part of building a platform like that and I think as we look at the SKY businesses, we think those sports have been critical to their growth and will continue to really deliver what we expect and I think we look for new opportunities. I think we announced the deal to take the Dutch football rights that deal is still awaiting approval, but again I think that the transaction would give us an ability to take those sports rights including a broad package of programming and really drive all our channels forward. You know where we've had a chance to execute on that around the world, it certainly I think is very much delivering what we expect that are more, again a place like Latin America is probably the one that at least stands out. As a year under its belt, the other, the Sky platforms have actually been [added] for a while, certainly it's been critical for their success and growth in the UK, in Germany and in Italy.
Reed Nolte: Next question please. 
Operator: The next question comes from the line of Jessica Reif Cohen with Bank of America Merrill Lynch. Please go ahead.
Jessica Reif Cohen - Bank of America Merrill Lynch: Thank you. I guess couple of quick ones. What do you think about the profits (inaudible) and given the increase in sports, which is a very clear strategy and the FX headwinds? Have you changed your outlook at all for your goal that you outlined the $1 billion in profits?
Chase Carey: I mean, I think, (inaudible) the maturity of that is it's certainly, and some of them like Latin America because we're a year into it, it will be incremental, that we be probably on top of the billion dollars in some of the other places. You’ll probably have a couple of years of building process. I mean right now India will be a process where we are investing in building the sports business for a couple of years and really the gains will come a couple of years down the road. So I think we haven't even started in Asia. We don’t take possession of that probably till the end of the year. So, in a couple of years, we will be still in the early stages of it. So, clearly it changes the perspective, I think if you look two years from now, you will some places that are mature not to really be an incremental addition to it. You will probably have others where we are still in the building process of building those sports franchises.
Jessica Reif Cohen - Bank of America Merrill Lynch: And then [Jacob] love to get your point of view of what do you think is happening with viewers overall? I mean, some networks have very strong ratings. Many, many are down. It really does seem like the appointment viewing is a thing of the past and how you guys thinking about it in terms of how you capture these viewers, what are the discussions like with Nielsen?
Unidentified Company Representative : I think there is no question that you were saying you said it an ongoing change in how people view this content. I think the content viewership is actually strongest than it’s ever been, the sunlight is stronger than it’s ever been. I think the ability to access content when you want, where you want multiple platforms, out of the home, in the home makes this content more valuable, but the fact of the matter is people are watching in a lot of different places not just linear networks. Linear networks I still think they are going to be tremendously important launching that’s the product, but people are watching it on DVRs and digital platforms on VOD, on inside the home, as I said outside the home and I think we need to continue to work with Nielsen and others to figure out how do we first measure that viewership. Clearly, parts of it like VOD after three days and mobile platforms are being measured. We need to get it measured. We need to make sure we continue to find ways to make sure we are getting I think the dual revenue stream obviously become increasing important, TV Everywhere becomes a part of that to make sure you have got business, you have got abilities to get rewarded for that viewership wherever it is, some of it is going to be through subscription based payments, some of its going through advertising. We need to do both. We need to make sure we find ways to continue to maximize the value of that through things like dynamic ad insertion to make advertising more valuable. I think all of these are really opportunities for us to continue to make, to continue to grow this business, again I think this actually is a real opportunity because its content gets more valuable, more popular, more important but we need to make sure we continue to grow the business model that enable us to get rewarded for creating and distributing great content.
Jessica Reif Cohen - Bank of America Merrill Lynch: Right. And then just Dave one quick one just to on this foot, can you give us any color on what the balance sheets of the two companies will look like have you given them any more thought?
Dave DeVoe: No. We will give you more information as we get closer to the end of calendar year. 
Jessica Reif Cohen - Bank of America Merrill Lynch: Okay.
Dave DeVoe: We rather than say that we are unplanned, we believe (inaudible) going to be finished by the end of June that's what we are working towards.
Reed Nolte: Operator next question, please.
Operator: That comes from Michael Nathanson with Nomura. Please go ahead.
Michael Nathanson - Nomura Securities: Yeah, thanks. I have two for Dave on guidance. Can you talk a bit about what [expectations] for Fox looks the rest of the year within your guidance, you are assuming gets better with ratings or we assuming just kind of rates will perhaps the entire fiscal year?
Dave DeVoe: I think we look at the ratings and look at those guidance, we thought it really good start about cable and the (inaudible) business we got some ups and downs across all the businesses. So we feel very good about where the guidance are as rather we have and obviously we know where we are after ratings are been and we know where we are after the World Series and I think that's pretty much all we are going to really say about it.
Chase Carey : No, I think we take a realistic view of what we think will happen to this, we he said we recognized we are below our expectations certainly in the both through entertainment and the World Series and we are realistic about, we got things coming but I think it’s a realistic set of assumptions enough about where we will be.
Michael Nathanson - Nomura Securities: Okay, then let me ask one more follow-up on the DreamWorks impact. Is there anything else precise just P&A expense that you are highlighting, is other cost or is that or you are calling these types of P&A in the second half?
Dave DeVoe: That’s the effects, the timing effects of the P&A. 
Chase Carey: Just happens the first when it was our first film; I think its second film. But released early July so you got all the P&A in front and you got the release right behind it where we capture everything on a first dollar basis. The reality of the way the accounting and our year end works.
Reed Nolte : Can we have next question, please.
Operator: It comes from the line of Richard Greenfield with BTIG. Please go ahead.
Richard Greenfield - BTIG: Hi, I was just hoping a couple of questions, one on the Film to follow-up, you made obviously some changes in the senior management team, I was wondering if you could talk to kind of strategically why and how to think about what that, how directionally you may change with the changes and related to that kind of why DreamWorks Animation, what really drove that deal in your mind, what was so important about that deal for you? And then just there has been, Rupert’s been tweeting about Penguin, the press has said you are a buyer of Tribune and the LA Times, I guess is there anything you could comment on in terms of your ambitions to grow acquisition wise on the Publishing side would be helpful?
Chase Carey: Okay. Well, I will not comment on Rupert’s tweets, but on the Film business, there isn't a shift in, you know there's not a shift in strategy and direction. There may not see a lot of change well, I think you know these businesses at times its for both sides is the right thing that sort of give us some fresh perspectives and anything change, stability is good and times change, its been for about and but I think its really continuing where we've been. For DreamWorks look at, we think that product is a great event product and great worldwide product. We clearly have it, when we think a uniquely strong, global distribution operation, it enables us to create incremental value out of that and I think this is a business that really benefits from having a broad set of a hit products and we can make some money off it. So I don't think it may, not badly, not rock solid, I think why we, what we look to get out of it, it’s up here, is make some real profits and have some hit films that we think can really strengthen our business. And we value the relationship with DreamWorks and look forward to working with them. I am not going to get too deep into all the rumors on what we are going to, what we are buying and what we are looking at; we always seem to be, the topic of the day when it comes to a rumor of some transaction. We were quite clear on a couple of them, or where we are. I think those comments on some of the late, one of the most we mention speaks for itself. The reality is, a lot of times we are associated with just is true, but sometimes we are picking if find some thing, obviously we should look at things, but I'm not going to get into commenting transaction by transaction, rumor by rumor. 
Richard Greenfield - BTIG: And in terms of just from the Publishing business is there, looking at Rupert’s comment that you would expect, I think you said on the call or maybe Dave said it that you thought that it would be relatively similar in profitability year-over-year in fiscal ’13, is that still accurate despite what happened in Q1?
Dave DeVoe: Yeah, I would say that our overall Publishing segment would be down year-over-year.
Operator: That comes from the line of Doug Mitchelson with Deutsche Bank. Please go ahead.
Doug Mitchelson - Deutsche Bank: Hopefully to come, it seems like we get a daily email speculating News Corp.’s going to buy something, any update on the level of M&A upside that management has right now especially given the ongoing split process and I have a follow-up for Chase?
Chase Carey: No, I mean I am rather not allowed to add to what I just said. We are not, yeah, I agree with you, we are there is a daily rumor and I don't think we maybe practically commenting on the daily rumors. So as I said a lot of them are not true. They are a lot – the places where we think we should get to hire some things and lots of places where we think we can add something that makes sense for us, but our focus is really on building and growing our businesses.
Doug Mitchelson - Deutsche Bank: Yeah, sorry if I missed that if you already answered that. So Chase, maybe this question is a bit unfair, but can you talk, answer to Jessica’s question about how the TV business sees a change to capture modernization of usage of the more from high broadcast within on-demand streams and we've been hearing this from sort of all the management’s for a couple years now. Why is it so hard to change TV business and how big a priority is it for News Corp right now? Is that this year’s problem, next year’s problem? Any sort of context around the pace of change will be helpful?
Chase Carey: I mean I do think business has changed. I mean, I guess, look one of the things I cited is important to dealing with [world] is making sure you are building to a revenue business that are not solely dependent on advertising. They have the other lag of strip the revenues and certainly our growth in retransmission speaks to it. So I think there are aspects to it. We actually today are monetizing our digital viewership in ways we weren’t a year ago. So we're doing some of that. We're working with Nielsen as you said to continue to expand the measurement tools, things like TV Everywhere, as our transactions come up, I think our ways can create and we're certainly putting that. Now I said before, we probably still say, we're somewhat frustrated by the speed or the lack thereof growth and implementation and execution of TV Everywhere, but certainly it's moving forward and I think that’s important as a business model. Hulu, we’re taking the Hulu Plus, which is a way to monetize and sort of create revenues for accessing content to mobile platforms. So I actually do think we're doing things. We got a lot more to do and clearly, a lot of opportunities that we still have to develop, but and we're not where we should be on some things like TV growth, so I will acknowledge there is work to do, but I think we got a lot going on and I think we have made and we had a number of fronts 
Doug Mitchelson - Deutsche Bank: So dynamic ad absorptions sort of have to have follow TV Everywhere right, you have to get those deals done and then may be that starts to become the conversation? 
Chase Carey: Yeah, we obviously dynamic ad insertion, we certainly we can’t do alone; you need, I think everybody recognizes the opportunity inherent in it. There certainly are efforts trying to get replace to try to start to develop it and I think everybody again would like to see it evolve. Yeah it’s part of a broader set of discussions, but everything sort of intertwined and I think that one I think is a win, win for all and hopefully we can finalize to move it forward. 
Operator: Comes from the line of Todd Juenger with Sanford Bernstein. Please go ahead. 
Todd Juenger - Sanford Bernstein: Thanks so much for taking the question. I guess I got one and a half questions; so you closed the quarter with about $12 billion of cash in the balance sheet I think and…..
Chase Carey: Hello. 
Operator: Okay, Mr. Juenger your line is open. 
Chase Carey: We lost that question early on. 
Operator: His line disconnected on us. We will move on to the next question it comes from the line of Michael Morris with Davenport & Company. 
Michael Morris - Davenport & Company: Thanks, good afternoon. Two questions, first on retransmission agreements and the length of the contracts there; some of your peers did have entered into long-term sports rights agreements; they also have entered into long-term retransmission or cable affiliate agreements as long as 10 years. I guess my question is when you look at the deals that you have done on the sports side, would you also like to enter into those long-term type agreements or do you think that limits your flexibility too much going forward. And then second just over on Latin American sports, there is a couple of big events coming up over the next four years, between the World Cup and the Olympics. Will you participate in those events and how will you, how does that help your business, thanks?
Chase Carey: In terms of retransmission, our goal and what we have done today is try to keep agreements shorter rather than longer. You know they are all multi-year agreements obviously, but we will prefer that we strive to keep the agreement short, we believe content is increasingly important and we rather be able to continue to have the flexibility to get rewarded for being successful and creating great content that franchise these brands. So actually that's where we try to go and that's where we look to go and that's we have been successful taking on. In terms of Latin America, I don't think its ever the right thing to say, speculate on individual franchise before we don't get, before they are there. I think we evaluate an array of them. The backbones to those channels have been probably more regular season sporting events, but I think if we can strike the right deals in right places, we’d certainly look at it. But we don't a deal, we don't have any arrangement with the Olympics today down there. Again we will see world takes us, but we like the properties we’ve got in Latin America, we are significantly ahead of our plans, and when I think we will continue to focus on the path we are on, not until I get down the road on and speculate on individual rights we don't have today.
Michael Morris - Davenport & Company: Just back on the first question on retransmission, is it safe to assume then that you feel that the increases that you should get over time for retrans, the value of your network should increase at a greater rate than the increases that are in these long term sports contracts that you are entering into.
Chase Carey: Yeah. I think its and I have said before so let me check in. We feel good about the retransmission revenue stream we built, but the reality is I don't think on any competitive basis if we look at all the other channels out there there's no question we are not getting rewarded comparatively for the value of the Fox Network. I think we've taken a real step forward. We are looking to get what we think is something that the market could hit, the market could manage and move us in the right direction but it certainly is not competitively comparable to what other channels get given the rapid reports of the programming that exists on the Fox Network.
Operator:
 :
Todd Juenger - Sanford Bernstein: I had one and a half questions if I would. So about the cash, you ended the quarter with $12 billion of cash on the balance sheet, some (inaudible) and I think in your note you issued, I believe you said before that you need about $3 billion sort of liquidity at steady state. So I don't know if there's any of the blanks you can fill in between the $12 billion and the $3 billion that you might help us sort of round that out. And then half a question that I would like to accompany with that is just, if you could be so kind as to talk about the [overall] dividend in that answer. I think its yielding less than 1% now. I know you have a preference for buybacks at the share price, but it seems like you could argue you’ve peppering for both. So let me hear your thoughts on that, thanks.
Chase Carey: Yeah, a couple of comments; one, we are in the process of completing just the acquisition in Australia that alone is a $2 billion acquisition. So that is obviously on the short term.
Dave DeVoe: With the closing of the ESS we have the --.
Chase Carey: So we have some things we've…
Dave DeVoe: We have continuation of our buyback.
Chase Carey: And so we've got our minutes in place, you know that piece, I think as we said before recognize (inaudible) which was $2 billion to $3 billion of cash and up two to two and a half times leverage. So obviously you guys have a clear lead there. There are events that are on the short term, very short term horizon against the $12 billion. I don't want to get to and again more recently what we said with the split coming we don't want to, I don’t want to get too far down the road kind of having those two companies in place, the balance sheet establishes boards and place for each, that enable each to come out with an appropriate picture. Obviously we are splitting the businesses and there could be businesses with different profiles and different needs, and so I think until we get there I think its probably better for us to just ride where we go from there, when those things are achieved, and I think that will include dividend statement. I think the dividends should be a part of the mix of our discussions, they have been with buybacks. I think we said with our drop in the [value], we think we have looked at buyback as a better path to returning cash to shareholders than dividends. But it should be a part of the conversation. But I think with the split becoming more and more eminent, I think its more preferable for us to get to this place and have the discipline to get the splits on and then address where we go from there with the two separate balance sheets.
Todd Juenger - Sanford Bernstein: It sounds like basically the answer is other than the identified items, yes we got those that more we come clear after the split. Thank you very much.
Operator: Next question comes from the line of Adam Alexander of Goldman Sachs. Please go ahead.
Adam Alexander - Goldman Sachs: Just a quick question on the Fox business; it seems to be getting some right instructions during the September quarter. I am wondering whether Chase, you can give us an upside there and whether you have any plans for more extensive use of the Wall Street Journal content in the cable space next year?
Chase Carey: As you know Fox Business channel has made nice strides. We still have some recent issues we have to deal with. It's not distributed as widely as we would like it. So, we had to deal with that. It's made some nice strides in rating and this guy looking at me the other day, it was what’s his name, you know [Lou Dot], they are (inaudible) counter part of the CNBC. So it’s got a nice momentum to that business. This channel will be profitable this year, this fiscal year. So it's on a good track. We’ve got to continue to build, fill out the distribution. We got good distribution but not so full distribution we need, but we think we have powers to addressing that in a reasonable short-term in the next year or two. So it's on a good track and we feel very good about it and feel very good about the progress we’ve made there and the opportunities to continue to build that business, and look we’ve got a great team leading the Fox News Group. The results they’ve got speak for themselves. So we have tremendous confidence in their ability. They have begin with building Fox News to really continue to distinguish the Fox business as a really exciting sister channel to the FOX News One.
Adam Alexander - Goldman Sachs: Just on the Wall Street Journal content mix Dave I think your agreement is (inaudible).
Chase Carey: I think our agreement, I don’t know the exact timing, (inaudible) it’s not over yet, but it’s recently soon. I think we look for opportunities to do things that makes sense. So we’ve had discussions and I think we book the opportunistic.
Operator: Next question comes from the line of Tim Nollan, Macquarie. Please go ahead.
Tim Nollan - Macquarie: I just wanted to track back on the issue of advertising in the most recent quarter and in the current quarter, could you give us a view again please stripping out all the political and Olympic impacts. Why do you think advertising was soft in the quarter just completed and why do you think it might get better now in calendar Q4 your fiscal Q2, please both broadcast and cable please?
Chase Carey: Well it’s not to strip out the Olympics so may be sort of I can strip out - it’s easier to identify political. So I do think for calendar Q3 clearly the Olympics and stripping out political the Olympics a lot of the money got in that period, we got sucked into the Olympics. Again that will be a more subjective valuation and I probably not do it but it’s just a fact. I think in looking at calendar Q4 (inaudible) which we are looking at what we are seeing today it’s not this is not a sort of yes some of these assumptions on what will happen at the end. As I said you got a pretty short-term finalizing (inaudible), but we get reasonably certainly the level of visibility to a quarter that we are close to the middle of where they are. And I am not saying that this quarter is…….. [Technical Difficulty]
Tim Nollan - Macquarie: If I understood correctly, we are talking about right sizing the cost structure and to reflect the revenue opportunity there now and if I'm correct what kind of margin do you have on mind, is my model correct I think the peak margin was around 11% to 12% for SKY Italia?
Chase Carey: Yeah, I'm really not going to get into that type of precision on margin. I mean your general assumption is right, I mean we assume, we are on a track to have a higher subscriber count than we do today. That's clearly affected the top line. I think we assumed, the net subscriber got a subscriber growth would be reasonably, our subscriber level will be reasonably flat for this year. I think with that in place we need to, we want to move to both our operating costs and programming costs. And unfortunately they are mostly from the programming sides and pretty much are not very long-term and really get the cost reset to the revenue base. So we've got a lean business but as the market improves we can take advantage of it and I think in some ways we can take advantage of the fact that while the market is impacting everybody, I think I do really believe our competitive position continues to improve and in some ways its the strongest player in the market where a lot of people are struggling, there should be opportunities for us to take advantage of that intelligently while continuing to improve our financial and our position.
Tim Nollan - Macquarie: So would it be fair to say that your current contract, programming contract and so on they would allow you to see and cause rationalization by next fiscal year already?
Chase Carey: No, obviously we have a lot of programming contracts they are not, just not all one, they are certainly ones that go past next year. They are not, we have multiyear contracts, but we don't have long -term contracts, as the nature of the business is like I think the agreement that started earlier in the year is on the soccer rights when the first of three years so there's something that go for a couple of years, there are some that are shorter than that, there aren't a lot of long-term contracts there but we can certainly make, I think we can make strides, this year make strides and in next year.
Reed Nolte: Operator I think we have time for one last question please. 
Operator: Okay and the last question will come from James Dix with Wedbush. Please go ahead.
James Dix - Wedbush: I guess Chase you commented more than once about how your broadcast retransmission fees still seem to have a lot of upside compared to what the broadcast networks offer to consumer, I am wondering if you could just look more broadly across all your cable networks and see are there other networks where you see particularly large opportunity and particularly I'm interested in comments regarding RSNs and the upside that they might have compared to comparable properties if there are any in their markets. Thanks.
Chase Carey: Yeah, I mean we haven't, we have a large group of channels and I probably usually put them in a couple of buckets. I think there are channels that are uniquely strong or with unique programming and I think unique programming becomes more important than ever again its in a fragmented world and certainly something like Fox News as we said before we made real headway but I think Fox News continues to be a channel that is important, as any to a segment out there in the marketplace and we should get fair value for the importance that Fox News has. Sports we think becomes increasingly important and its important for us to get continue to generate fair value for those sports rights, I think the channel channels like National Geographic where you think the opportunity for us is really to staff into something that we got new management in place. They actually had an event that did really well on Sunday night, but happened to an opportunity to really build that channel to what it can be. And I don't think we have done that. I think we got national sports channel that really have been, below the radar screen and I think we got enough breadth in the right franchises to really build them into something that can be special for us. So I think we got properties, I think we got identify strong franchises where we continue to get value, we got room to do that, we’ve got channels that they aren’t taking advantage of, aren’t really probably achieving what we think they can achieve. We got some channels that we probably have strategically focused on enough and we're going to do some things to get value there and I think channels like FX, just continue to get stronger with more distinct programming than anybody else in that sector. So I think it's a matter of getting fair value for unique content. I think we got great content, great unique content and probably in many ways, equally exciting, a number of franchises that haven't really been developed anything close to their full potential. So that’s where their growth comes from.
Reed Nolte: Thank you. At this point, we're out of time. Thank you everybody for joining today’s call. If you have any further questions, please call Joe Dorrego or myself here in New York.